Operator: Good day and welcome to the OpSens, Inc. Reports Third Quarter of Fiscal Year 2021 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded.  I would like now to turn the conference over to Robert Blum of Lytham Partners. Please go ahead. 
Robert Blum: Okay. Thank you very much and thank all of you for joining us today for the OpSens Third Quarter Fiscal 2021 Conference Call. With us on the call representing the company today are Louis Laflamme, OpSens’ President and Chief Executive Officer; and Robin Villeneuve, OpSens’ Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. Before, we begin with prepared remarks just a couple of comments. Today’s call will contain forward-looking statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected and the company undertakes no obligation to update these statements, except as required by law. Information about these risks and uncertainties are included in the company’s filings, as well as periodic filings with regulators in Canada, and the United States, which you can find on SEDAR and the OpSens website. Today’s discussion will include adjusted financial measures which are non-IFRS measures. They should be considered as a supplement to and not a substitute for IFRS financial measures. Finally, today’s event is being recorded and will be available for replay through both the webcast and conference call dial-in information provided in the press release. With that said, let me turn the call over to Louis Laflamme, President and Chief Executive Officer for OpSens. Louis, please proceed. 
Louis Laflamme: Thank you, Robert, and good morning to all of you. We are excited to speak with you today for our third quarter fiscal 2021 conference call.  Let me also take a minute to greet the French speaking audience. [Foreign Language] Let's move in through the highlights for the quarter. From the revenue standpoint, I am pleased with the result of the third quarter, which reflected strong top line growth across the board with 39% year-over-year revenue growth and 5% growth sequentially compared to the second quarter. The $9.2 million of revenue was a new record for OpSens, a key accomplishment. The successful commercial adoption of our OptoWire solution for coronary artery disease continued to be the key driver of revenue growth. I will go into more detail in a moment where the growth is coming from, touch on the strong operational improvement in our gross margin as our OptoWire III continues to roll out, and discuss the investments we are making to drive sustainable growth going forward. On the development side, OpSens has been increasing its internal project pipeline. On the midterm basis, these new projects will increase OpSens' offering to further improve its positioning with physicians and customers. For more short term value drivers, we progress towards our first in-man start by responding to regulatory questions from EL Canada. As we mentioned before, OpSens is seeking authorization to perform the first inland for the SavvyWire, the commercial name we are applying to our innovative pressure guidewire are the diagnosis and treatment of aortic valve stenosis or TAVR. The first in-man will be one of the last steps before we file for regulatory 510 (k) clearances with the US FDA. I'll expand on this process and the requirements in Canada, US and EU more in a bit. But the bottom line is that we remain committed to the timeline we are talk about the commercial TAVR product with a goal of initial approval in early 2022 in Canada, and in the US and Europe A few months after. With a record revenue quarter, and strong progress on both the commercial and development side, we are also in the best financial position we ever have been, from a balance sheet perspective, to continue the execution of our growth strategy. At the end of May, we had $38.8 million in cash on the balance sheet. So with that, as a high level overview, let's jump into more specifics. Let's start with the OptoWire. Sales within our coronary artery disease business, or what we refer to as FFR and dPR were $6.2 million during the quarter. This was a 41% increase from the year ago third quarter. We saw strong continued adoption in the US where sales were up 152%. Similar to recent quarters, this is a direct result of our concerted efforts to expand and enhance our market share in the US by adding new customers while capitalizing on the recent signing of two significant GPO contracts, working with hospital systems and GPOs as being a key initiative, and we are excited with the progress made to date. As a reminder, we signed our first US GPO agreement in October 2020, which was a three year contract, providing access to the OptoWire to all their members across the US. In April, we signed our second major GPO agreement with Vizient, one of the country's largest GPOs to provide our OptoWire III to over 700 cath labs. This is more than 1/3 of the healthcare organization in the country, ranging from large integrated delivery networks and academic medical centers to community hospitals. Unit sales to GPOs have been growing 30% from Q3, 2021 compared to Q2, 2021. These contracts are a continued recognition that the OptoWire improves efficiency and save expansion cost while aligning with our partner's mission to better treat their patients. Outside the US, we likewise have strong sales performance across nearly every geography. Sales in EMEA were up 74%, in Canada was up 53%. Japan, however was up 15% during the quarter, primarily due to the continued impact from the pandemic, as they are a bit further behind the curve compared to many other parts of the world. As a reminder, we achieved regulatory approvals for the authority in the last few quarters, which should continue to be a key driver for both growth but importantly, gross margin going forward. We have thought about it in the past that OptoWire III new design is even more user friendly, which we believe may increase its adoption with physicians and expand the assessment of cardiovascular artery disease using FFR and dPR which has the ability to result in better diagnosis and treatment for more patients. We also recently announced the signing of an agreement with Cathmedical Cardiovascular for the integration of our coronary physiology algorithms into their Picasso system, a next generation hemodynamic system. The integrated system will initially focus on the Spanish cardiology where the Picasso has a dominant market share. This partnership agreement allows interventional cardiologists using the system to benefit from full integration into the cath lab and to offer superior diagnosis and treatment to their patients. We believe their integration brings together the best of both worlds, a more dynamic system and physiology guidewire, emerging functionalities that will improve physician workflow, ease their decision making process and may lead to better patient outcomes. We are excited to see how these partnerships develop. Circling back for a moment on gross margin. Robin will touch more on this in a moment during his financial discussion. But I think it's important to point out, the things may progress during the quarter and expanding our gross margins, which increased 400 basis points from 55% up to 59% during the quarter. [Indiscernible] can caution of this improvement is tied to the extensive launch of the OptoWire III, which has lower cost of goods sold, but also higher volume and economies of scales, combined with enhance productivity, we expect to see a continued long-term improvement in gross margin going forward. Also, as Robin will point out, we are making key investments in sales and marketing to drive adoption of the OptoWire for future growth. We are being very measured in our approach, and believe the long-term potential is so significant that we want to continue building this business for sustainable growth. One highlight of this is our educational webinars. Our team has successfully launched a series of Casio webinars, with top medical professionals touching on a wide range of topics. The most recent ones are all in coronary physiology, more diversity in the cath lab. PCT Incorporating current data in your PCI practice and our OptoWire for dPR or FFR. Our goal is to provide an educational forum on the benefits and advantages for our products to improve patient care. I'm proud of our team's efforts in creating these informative webinars. With all that said, we continue to have a positive outlook for the remainder of the year. The headwinds from the pandemic are not completely gone. But based on the COVID recent improvements, we are seeing crowd most of the world couple with a more specific ramp up in our areas of focus, I believe we are in a great position to end the year on the positive note.  Transitioning to our business partnership for a moment. As most of you are aware, several companies are integrating OpSens into their product used in medical application, including Abiomed integration of our pressure sensor into the Impella pump. Sales to OEMs were up about $561,000 during the quarter or 35%. The increase is largely a result of the timing of orders deliveries, which can at times be lumpy. In 2019, we signed a five year agreement with that Abiomed which makes up the largest portion of our OEM partnership sales. Overall, when you include our coronary artery disease business, plus the contribution from our medical OEM sales, our total medical sales were $8.5 million during the third quarter; this was a 39% increase from the same period a year ago and up 9% sequentially.  Let us now discuss the performance of our industrial segment. Once again, this segment saw very nice performance during the quarter with revenue up $713,000, an increase of 41% compared to the year ago. As a reminder, our industrial segment leverage our optical technology and knowledge through our wholly owned subsidiary called OpSens Solution to offer key solutions in optical, temperature, pressure, strain and other parameters for various industries, including aerospace, nuclear and power electronics. While I want to keep the near term expectation under control, this group is making tremendous progress on a number of fronts, including the recent announcement pertaining to our involvement in the international EUREKA network project. The project consortium, supported by a major aircraft manufacturer aims to develop an optical fuel monitoring system for aerospace application based on OpSens Solution patented fiber optic technology. This innovative system is intended for use in commercial aircraft, among others, and is designed to be safer, lighter, and to reduce contaminant emissions. This aerospace base announcement follows up on last quarter announcement regarding our involvement in the international thermonuclear experimental reactor, or ITR project. ITR is the world's largest nuclear fusion and sensitive experiment project, with 35 nations currently under construction in southern France. As a reminder, OpSens was selected to supply our customer with fiber optic, absolute, and differential pressure sensor that will provide critical information for accurate monitoring. In total, it is anticipated that there will be a large number of sensors at different levels of the ITR project for which OpSens sensor technology would be applicable. The team at OpSens Solution is doing a great job. And I look forward to the continued leveraging of our optical technology to a wide variety of commercial applications. With that overview on our commercial base operation, let's jump into our lead development program for power. As a reminder to those newer to that company, we are leveraging our optical technology. For the benefit of the multi billion Transcatheter replacement of the aortic valve or TAVR market. Our TAVR guidewire allows for a single wire to diagnose and deliver the valve reducing complication, while saving time and money through its flawless connectivity capabilities. It would be the industry's first guidewire that can deliver the valve and allow for continuous pressure measurement. As I mentioned at the beginning, we received and responded to EL Canada question for the clearance on the Investigational Testing Authorization or IPA. We are expecting to start and complete our first in-man study before the end of the summer. The study is being conducted on 20 patients in two world's renowned Structural Arts Institution with leadership from Dr. [Rodriguez Jabu at IUCPQ] in [Indiscernible] and Dr. [Reza Abraham] at the Montreal Art Institute. Again, this product, the SavvyWire will be a 510 (k) submission. We need to demonstrate safety and ability to deliver the valve consistently with the predictive device. We will not be conducting any clinical follow up on patient condition in this study. The completion of the first in-man study will be the last key step before regulatory filing in the US, Canada and EMEA. Again, our expectation is to complete the trial in the summer with 510 (k) submission right after with our -- is for an initial approval in Canada before March 2022 and in US before June 2022. As I mentioned last quarter, while we are completing the regulatory steps, we are also preparing to ramp commercial production to be able to hit the ground running next year. As a reminder, one of the reasons we are so excited about this area, besides the fact that we are looking to bring to market something that we believe to be a potentially game changing device is that this is one of the fastest growing segments in cardiology with TAVR procedure on the rise, driven by an ageing of the population and recent study, highlighting its benefits in utilizing a less invasive procedure and there'll be improving the patient recovery time. As we stated before, the TAVR market is currently estimated at US $5 billion a year, and is expected to reach $8 billion by 2025. So although we are extremely excited about the progress we have made, and the potential opportunity TAVR guidewire can bring to the market, I look forward to sharing more with you in the coming months. As you can hear, following the financing we completed in February 2021. OpSens has been employing its accelerated business plan with additional sales and marketing activity, and increased R&D investments to further capitalize on business opportunities ahead of us. We believe OpSens is in a unique position to create value by generating additional revenue growth, while accelerating the release of new products that can meet unmet needs for the best interest of physicians and patients. This is really exciting time for all of us at OpSens. So just to recap a bit before I turn it over to Robin, I'm pleased with the overall progress made during the third quarter of fiscal 2021. Total Revenue was a new record up 39% year-over-year led by a 41% growth in OptoWire coronary artery disease revenues. Nearly every key region showed growth during the quarter with our key objectives to gain share in the US coming to fruition as sales increased 152%, 34% sequentially. We also made demonstrable progress in our improving -- in our ability to improve the gross margin. Our OpSens Solution business continues to operate well with a number of key global projects in play that have the potential to be long- term contributors for us. Our TAVR program continues to move forward with key milestone reach and a continued expectation of US commercialization in 2022. And we have a strong balance sheet with more than $38 million in cash. As always, I want to thank all our employees for their hard work and dedication during the quarter, as we truly have accomplished a number of very important milestones and developments. But most importantly, there is a lot of work ahead of us. And I'm confident we are up to the challenge. Let me now turn the call over to Robin for a review of the third quarter of 2021 results. Robin?
Robin Villeneuve: Thank you, Louis. And thanks to everyone joining us on the call today. The company reported record sales of $9.2 million in the third quarter of fiscal 2021 compared with $6.6 million in the same period of fiscal 2020, an increase of 39%. This also compared to $8.8 million in the second quarter of fiscal 2021.  Sales in the medical segment, which encompass both our coronary artery disease lines of business, or FFR and dPR and OEM which is mainly our agreement for integration of our pressure sensor into their Impella pump total $8.5 million. This was an increase of about $2.4 million or 39%. FFR related sales were up $1.8 million while the OEM sales were up about $0.6 million.  Sales in the industrial segment total $713,000 during the third quarter, compared to sales of $506,000 for the same period in 2020. The increase is explained by a higher volume of orders in the nuclear field compared to the same period last year. As we stated many of the projects which have long-term potential are still a bit further away from their larger realms. So I just want to reiterate our caution on expectations there Q4 2021. One important note, the company's revenues are generated in US dollars, Canadian dollars, euros and British pounds, fluctuations in the exchange rate affect revenues. For the three month period ended May 31, 2021, revenues were negatively affected by about $750,000 compared to the same period last year. In contrast, sales were positively impacted by $332,000 for a three month period ended May 31, 2020. When you look at gross margin, they were up nicely to 59% in this year third quarter, compared to 55% in the year ago third quarter, and 52% in this sequential second quarter. The 400 basis points year-over-year increase in gross margin percentage reflect higher sales volume and their related economies of scale, combined with enhanced productivity and by lower cost of goods sold for OptoWire III compared to OptoWire II. From an operating expenses standpoint, OpSens' overall operating expenses increased by $1.3 million during the third quarter of fiscal 2021 compared to the third quarter of fiscal 2020. The increase is largely explained by our investments in sales and marketing, as we are ramping up our sales efforts to continue growing market share in the US along with increases in research and development expenses as we prepare for the commercial launch of our TAVR guidewire in the coming months. As we explained, we are making additional investments in sales and marketing and research and development over the coming quarters to capitalize on the opportunities we have to accelerate growth of OptoWire and development of our SavvyWire. We are anticipating an increase in operating expenses by approximately 10% over Q3, 2021 for the next few quarters. Also, please note we did recognize a non refundable contribution with the CEWS or Canada Emergency Wage Subsidy program for an amount of $121,000. You will see this recognized under other income on the income statement. EBITDA which we define as net income loss, plus financial expenses, depreciation of property, plant equipment and right of use assets, amortization of intangible assets and stock based compensation costs was a positive $0.5 million in the third quarter of 2021 compared $0.6 million in the third quarter of 2020. The slight decrease in the third quarter is mainly due to higher sales and marketing and R&D expenses and higher amount of CEWS received last year.  Looking at net income, as anticipated, we are reporting a net loss of $570,000 in the third quarter of 2021 compared with a net income of $52,000 in the year ago third quarter. The net loss is mainly due to our investments to capitalize on business opportunities with additional spending in sales and marketing, R&D and others. Our operating expenses increasing $1.3 million for the third quarter of fiscal 2021 offset by sales growth and improvement in gross margins. Finally, as we mentioned, we completed a $28.75 million bought-deal financing in February 2021. Inclusive of the financing, we added $38.8 million of cash and cash equivalents as of May 31, 2020. With that I'll turn the call over to you Louis. 
Louis Laflamme: Thank you, Robin. Thank you to all investors for their continued interest and support of OpSens. We are working our everyday to capitalize on the exciting opportunities ahead of us. Operator, let me now turn the call over to any questions.
Operator: [Operator Instructions] The first question comes from Rahul Sarugaser with Raymond James.
RahulSarugaser: Good morning, Louis and Robin. Thanks so much for taking my questions and congratulations on the strong revenue this quarter. So I'd like to actually start with that revenue and talking a little bit about the GPO business, sorry the GPO channel, so I'd like to maybe to get a little over resolution in terms of how much of that revenue was driven through the GPO. Recognizing that we did see a little bit of a jump in sales and marketing, and how should we be thinking about the revenue trajectory sort of organically as well as through the GPOs?
LouisLaflamme: Okay, well, I think the message, well, first, thanks for your question, Rahul. It's always good to talk with you. So I think the message or the results that we see regarding the GPO initiative is in line with what we said before, where we got some positive impacts in the Q3 2021 results of this expansion with the relationship with GPO. This being said, we expect to have more significant result impact in the fiscal year 2022. Because having GPO contract is a license to earn, it's an access to a base of customers. This being said, we're still asked to perform the normal steps of sales, where we asked to install a monitor, we asked to secure doctor's support. And from there, we can generate recurring revenues with our customers. So in the current quarter, when you compare with the Q3 2020, there was a significant increase in the sales with GPOs. But in percentage, but we do expect in dollar that the impact will be more impactful in fiscal year 2022.
RahulSarugaser: Terrific, that's very helpful, Louis, appreciate that color. So now moving specifically to the TAVR program. I'm not sure if it was I misunderstood but you talked about initiating the program in the summer, but also completing the program in summer. Summer is a bit of a broad term. I think there was a July timeline talked about for initiation. Maybe I'm imagining that maybe it was in one of the previous call. So are you able to give us a little bit more resolution on sort of timelines associated with the initiation, how long you expect that the recruitment will take and completion of the trial? I think given how much excitement there is then our discussions with KOL seem to be illustrating that there's quite a bit of excitement around the program.
LouisLaflamme: Yes, sure. So obviously, there is excitement from [key opinion] leaders. There is also a lot of excitement internally at OpSens because we truly believe that this product can have a contribution to the field to the TAVR procedure. Regarding the timeline, yes, you're right. We, I did mentioned this morning that we were expecting to start the study in the summer and to complete the study in the summer so that the session is as following is that we need to get the authorization from EL Canada to perform the first in-man study. Right now we receive the first set of questions with the answers to those questions. And now we are waiting to see their reaction about the answer that we provided. So we've been talking in the previous call about hopefully, starting the study in July. Let's say, my current impression is that we will probably start in August. This being said, the study is only 20 patients and the centers that we are working with are very high volume centers. So thinking that we could execute the studies very quickly, is certainly a comfortable assumption for me. So that's why we can expect to start the study in the summer, and to complete this before the third week of September.
RahulSarugaser: Thank you. And so just a quick follow up question. Louis, thank you very much for that. And then could you maybe elaborate a little bit in terms of completion of the study and the timeline between that and submitting your FDA package?
LouisLaflamme: Well, we are working right now to prepare everything we can do around the filing. So that's the reason why once the study is completed, and we get the final report, we will almost be ready to do the filing to secure the 510 (k) clearances. So we don't expect a lot of time between the completion of the study and the filing with the FDA.
Operator: Next question is from Douglas Miehm, RBC Capital Markets.
DouglasMiehm: Just a question with respect to your thinking on the marketing in this product. I know that there are multiple pathways that you can pursue in that regard. But I'm just wondering if you have anything to update. I know that as it relates to the US market, we're a year away from having to be concerned about that. But I do expect you are laying the groundwork today. Could you maybe give us a few details on what you're thinking?
LouisLaflamme: Yes, sure. I mean, and when you say, a year away from commercialization, it means that we need to prepare today. So as I mentioned before, in previous call, okay, OpSense right now is preparing to roll this product into the bag of our territory manager, so our team that is selling directly to us, it's all in US. And we feel that everything that we are doing around the coronary artery disease business, so developing relationship with customers, installing up two monitors in the field, developing relationship with GPOs, all those actions will help us to be faster in the rollout of the SavvyWire for the TAVR procedure, this being said, this is one option. The company will also explore other options, where we could work in collaboration with the other companies in either distributing or bringing the product and we are and other in the hands of physicians, and there is some interest on that. So we will make the best decision for value creation for shareholders. At current time, there is not a lot that I can share more on this. But if I would conclude is that, I mean, we feel that now going with our internal sales force is an option that would deliver a lot of value for shareholders. So when we will evaluate any partnership opportunities, it will add to be substantially superior to this to allow us to go in a different direction.
DouglasMiehm: Okay, that's helpful. And maybe a bit more detailed with respect to the cath labs and those sorts of things or the way the TAVR procedures are completed. What percent market share do you think you have right now in the US as it relates to hospitals that would be completing the TAVR procedure?
LouisLaflamme: I would say it's probably similar to the market share that we are adding in general for our coronary artery disease business. If you recall and if we talk specifically about the US market, we have 4% market share today in coronary artery disease and this 4% is probably applicable to the areas or centers where the TAVR procedure are being performed. We think that having both products together will help us to get, obviously some success or substantial success on the TAVR product. But this will also facilitate our penetration of the coronary artery disease product being the OptoWire. So we feel that adding those two products together will give -- will make the offer from OpSens much more much stronger. And this will give us an opportunity to be more relevant for doctors more relevant for hospitals, and also obviously more relevant for GPOs.
DouglasMiehm: Okay and you don't think that you're going to be at a disadvantage only having a 4% market share when you launch this product, relative to other potential offer groups that may have 100% market share in various TAVR labs?
LouisLaflamme: Well, the answer is no. Because first we will grow this 4% market shares in US. In addition, we are coming in TAVR with a new concept where this doesn't exist in the field today. And as you know, I know you've been in contact with different key opinion leaders in the field, there is a strong appetite for the SavvyWire concept. So we feel that the demand will be strong regarding this product. So even if our current market share is small in US, we think it won't affect at all the speed of penetration of the SavvyWire.
Operator: The next question comes from Justin Keywood with Stifel GMP.
JustinKeywood: Good morning and thanks for taking my questions. I had a couple of questions around the gross margins. We saw the nice expansion in the quarter from 55% to 59%. I know there were some comments earlier on in the call. But if you could just remind us what are the contributing factors to driving that gross margin, if this is sustainable in the near term. And I also thought I heard from Robin, but there's also the potential to even expand the margins. So if we can just have some additional color that would be appreciated.
LouisLaflamme: Yes, sure. And maybe Robin, you can complete after my answer. But at high level, Justin, well, obviously having more volume is providing some scale economy to us. In addition, as we progress in the year, the percentage of sales of OptoWire III is higher compared to OptoWire II. So each time we are moving in that direction, this is helping the gross margin. In addition, the percentage of direct sales has been higher than some previous quarters. And obviously, our gross margin is higher when we sell directly in North America compared to either EMEA or Japan. So overall, and also that the fourth factor is the fact that the other medical business so the OEM business is an area where there is certain customers that are providing good gross margin to OpSens. So when you combine all those factors is giving a quite positive growth on the gross margin site. Just to complete that the last portion of your question is that when we look forward, we think that OpSens will continue to grow. We'll continue to gain scale economy and having the SavvyWire which will be also a high margin product. And there is room to do better on a short term basis. And let's say sometimes, just one quarter is small so we can see some variances there. But when we look forward to our years 2020 to 2023 and 2024 we feel there is opportunity to do better.
JustinKeywood: Thank you. Appreciate that and any indication on what the gross margins could eventually get to at scale?
LouisLaflamme: We think that seeing a gross margin somewhere around 65% is something that would be reasonable that would be fair to all of our customers and partners around the world.
JustinKeywood: Okay, good to hear. And then the balance sheet is obviously quite healthy, ending the quarter with just around $39 million in cash. I assume that provides more than enough support for the new TAVR products. Do you have any other plans for the cash on the balance sheet? Are you looking at any acquisitions? And if so, what's the pipeline look like? And any indications on how further along those conversations are with potential acquisitions?
LouisLaflamme:  Okay, well regarding the use of proceeds from the last financing, we've been clear that we were going to increase our sales and marketing expenses. We were also going to increase the human resources in the R&D department to accelerate innovation to bring new products to the market faster. So that's an area where you can expect to see an increase in expenses. So that's a part of the use of proceeds. We have let's say we are assessing different acquisition opportunities, I would say right now, none of them are at the level where I can say to you, they are well advanced. But we remain, let's say, alert there and opportunistic. And down the road, the once the SavvyWire will be on the market, we do expect to also spend additional money in clinical activities to really demonstrate the value that this concept is bringing to the field. So overall, we like to be in strong cash position. This is allowing us to grow with more velocity and everything we do. And we feel that since the market opportunities that we have out there, it's important that we move quickly. So, yes, no, I think it's covering your answer -- your question.
JustinKeywood: I appreciate that. And just one more question, just with the recent balance sheet strength, has that led to any productive or I guess more productive conversations with some of the hospital customers? Just given that OpSens is relatively a smaller supplier compared to some of the larger medical device providers out there. And has that changed any of the conversations that you've been having?
LouisLaflamme: I'm not sure I understand your question. Can you repeat?
JustinKeywood: If the balance sheet strength of the company, is that leading to any increased sales traction with some of the hospital customers if there's been any change compared to the past?
LouisLaflamme: Yes. I would say the answer is no, I think that there was no concern from customers with OpSens viability, where it's having an impact is that we have now the resources to add more people in the field and having more presence will lead to revenue growth.
Operator: The next question comes from Harry Auger with [Indiscernible]
UnidentifiedAnalyst: Louis, good morning, and congratulations on a fine quarter. I had two questions for you. One is what was the percentage of sales on the second quarter and this past quarter through the GPOs?
LouisLaflamme: I mean, it's nothing information that we are disclosing publicly probably. What we can share with you is that it has been growing. And I mean we see the opportunity to do more.
UnidentifiedAnalyst: Right. So it was basically immaterial for those quarters.
LouisLaflamme: No, I would say it's more than that. Because let's say we already had sales in some centers that were part of the GPOs contract that we signed. So in that context, as soon as we signed contracts, we already had sales that were falling within that contract. But the interesting point for us and for investors is the growth that we can get from this. And in terms of growth, we've been able to add a certain number of centers. But we have to give time to those centers to generate recurring sales.
UnidentifiedAnalyst: Okay. And then where do you stand on your progress of getting listed in the US on NASDAQ?
LouisLaflamme: I mean this is something that is assessed on a regular basis by the Board of Directors. At current time, there is no decision that has been made in that regard. I would say that we -- there could be some benefits for the company and the shareholders of having the shares of OpSens listed on the major US exchange. We don't meet right now the criteria around the minimum stock price. And that's something that we cannot say down the road.
Operator: Our next question comes from Jeff Schacter with TD Wealth.
JeffSchacter: Hi, Louis. How are you doing? I am listening to this call, I think people are still under appreciating the amount of change you'll have in the cardio world with the TAVR product and I do appreciate your answer on the M&A side because I think the stock price is still will be materially higher, and I think the use of proceeds in getting that TAVR out there helps the business in aggregate and the company valuation materially. So I appreciate that answer. The question I have is just on the hiring. Is that largely complete and have you been able to find the talent you went in looking for and are you largely where you want to be with the staff?
LouisLaflamme: The hiring is not completed, I mean, we are very, very selective in getting top talent. So I would say that we are probably at two thirds of progress in the R&D department, while in sales and marketing, we may be at somewhere that like one third of progress. So it will be a process that we will -- where we will make progress gradually through the fourth quarter, and the year -- the beginning of the year 2022.
JeffSchacter: Okay, and as far as you feeling that the talent is out there for you, you see no issues in finding what you're looking for.
LouisLaflamme: No, I would say there is a very good interest from the human resources to join the team at OpSens. And the fact that we have OptoWire that is a proven device in the field that's true -- the value to customers. And this is allowing us a good capability to attract people. And, obviously, when you add on this, and the SavvyWire that is coming on board, this is enough to make a commercial person quite excited about the OpSens opportunity.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the management for any closing remarks.
Louis Laflamme: Thank you. So many thanks to everyone for participating on today's call. We look forward to hopefully speaking with all of you again shortly. And to keep you updated about the exciting progress by OpSens. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.